Operator: Good day, ladies and gentlemen. And welcome to Asure Software’s Corporate Conference Call. My name is Ben, and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will facilitate a question-and-answer session towards the end of today’s presentation. (Operator Instructions) As a reminder, this call is being recorded. I would now like to turn the call over to Cheryl Trbula of Asure Software. Please proceed.
Cheryl Trbula - Investor Relations: Good day, and welcome everyone to Asure Software’s conference call. Before we start, I’d like to mention that some of the statements made by management during this call might include projections, estimates, and other forward-looking information. This will include any discussion of the company’s business outlook. These particular forward-looking statements and all of the statements that maybe made on this call that are not historical are subject to a number of risks and uncertainties that could affect their outcomes. You are urged to consider the risk factors relating to the company’s business contained in our latest periodic statements on file with the Securities and Exchange Commission. These risk factors are important and they could cause actual results to differ materially. This call is also being recorded on behalf of Asure Software and is copyrighted material. It cannot be recorded or rebroadcast without the company’s expressed permission and your participation implies consent to the call’s recording. After we have completed our review of the quarter, we will open up the call for questions from the financial analyst community. I would now like to turn the call over to Pat Goepel, CEO of Asure Software. Pat?
Pat Goepel - Chief Executive Officer: Thanks, Cheryl, and we would like to welcome all interested third-party shareholders clients, analysts to the first quarter Assure conference call. First quarter was a very solid quarter, which we finished slightly ahead of plan on revenue and slightly ahead of plan on EBITDA. We had an eventful quarter, lot of operational activities, and I will touch on those right now. First of all, we launched a new website, which is the way we are reaching new clients and communicating effectively to our current interested stakeholders and our client base. And that new website will generate growth for our new sales people, which we hired in the first quarter. We are approximately 12 sales people as we mentioned last time over our previous year’s number and the early results are very positive, and we are very happy with the ability to attract the right people. A website also is increasingly the way the company communicates with the world, and we are very happy about the quality of the website led by our marketing department, and I am very, very pleased with the lead traffic that, that’s starting to generate via our programs. We also completed a client acquisition portal and that is going to allow us to effectively communicate with our clients, where increasingly now, we communicate effectively via the phone or in person, but with the client portal, our clients can log in and that’s any client and it effectively integrates our client communication. They can reach knowledge-based case studies and they can discover what cause of their problem is, and then we can satisfy their problem or issue very, very quickly. And what this allows us to do is get client satisfaction which is continually going up to be effective, but then also from a cost of service, actually it takes down our cost of service. So, we consolidated around the service cloud of salesforce.com, very pleased with that effort when we completed that in the quarter. We also made some real traction in the land and expand sales strategy as we have talked about on other calls. What we have done in the past is we have had a division of a university, let’s say, a Business School of University, but we haven’t had the Law School of University, very similar in the corporate world, and we have highlighted a couple of companies in our press release, but where we have had a division of Procter & Gamble, now they have opened up other divisions of Procter & Gamble that’s very exciting news. We are very focused on doing that. And we have other clients and universities in the queue that will continue to drive that strategy. Our SaaS initiative, which we’ve made some tremendous progress with and is now 51% of our total revenue, we’ve continued to drive that progress and the new sales reps also are selling that service and leading with it. So, we’re really excited about the future in that area. We also on the cloud side have completed a number of different technology initiatives around consolidation of some of our hardware and our hosting. In addition to that consolidation some of the previous acquisitions to one internal system for consolidation and what that saves us is roughly $1.2 million annually and that was exciting for us because we’ve completed that in the first quarter. Our outlook for the next quarter is $6.2 million to $6.5 million in revenue $900,000 to $1.1 million in EBITDA. And our annual guidance is unchanged. And we feel like we’ve got a very solid quarter a platform for the year of 2013. It will be exciting. We’ll have growth in 2013. The third quarter will be first quarter that we’ll have non-acquisition numbers, so I think the investors can see our progress in that quarter and very, very excited about the business going forward both from a revenue growth and EBITDA growth potential here for the year of 2013. So with that now, I will turn it over to Jennifer Crow. So, she can give color on the actual results of the first quarter.
Jennifer Crow - Chief Financial Officer: Thank you, Pat. Good morning everyone I’m going to take a few minutes here to go with our first quarter financial highlights and then Pat and I will be happy to answer any questions that you may have during the Q&A period at the end of this call. In the first quarter revenue was at $6 million, up 44% year-over-year driven by the acquisition of PeopleCube in July of 2012. Our non-GAAP revenue this quarter was $6.2 million, the difference in the GAAP and the non-GAAP revenue is $216,000, which was incurred as the result of the business combination accounting rules that require a fair market valuation of the PeopleCube deferred revenue as it is amortized into revenue in each period. Recurring revenue as a percent of overall revenue remained steady at 79% as compared to last quarter and increase from 74% year-over-year. New annual cloud bookings decreased slightly by 4% as compared to the previous quarter that were up 16% year-over-year excluding PeopleCube. EBITDA as Pat, mentioned was $727,000 excluding one-times we incurred $320,000 in one-time charges was consisted of $214,000 in legal and professional fees and $91,000 in severance and other related employee costs that can be attributed to the acquisition. Net income excluding one time items for the quarter was a loss of $0.15 per share. GAAP earnings per share amounted to a net loss of $0.21 per share, the per share difference of $0.06 due to the one-time items. Gross margin this quarter was 70.3% as compared to 74.8% in the first quarter of 2012, absent PeopleCube gross margin would have increased to 77%. Cash flow from operations for the quarter was $76,000 and capital expenditures for the quarter was $140,000. Our guidance was outlined in today’s press release and for the second quarter we are guiding a range of $6.2 million to $6.5 million in revenue and EBITDA excluding one-times as $900,000 to $1.1 million. At this time I’d like to turn the discussion back to Pat Goepel, our CEO for closing comments and then we’ll open it up for questions.
Pat Goepel - Chief Executive Officer: Thank you, Jennifer. And as we look forward, we are executing the plan, we feel like we’ll make tremendous progress through the year and that’s reflected in our guidance going forward. We’re making this progress both on the sales, revenue side, marketing side, as well as on the costs reduction side. The acquisitions we’ve made over the previous year whether they are in time and labor management or in AsureSpace with the PeopleCube acquisition, we’re continuing to find synergies as well as growth potential in our product offerings. We are excited about the products and we’re excited about the people we put in place. Now we have to execute and the first quarter was a great proof point on execution. I think it’s an exciting time and I share it personally. We’ve solidified our financing to look for future acquisitions. Organically, we feel really good about our plan. With that, I’ll turn it over to any questions that you may have.
Operator: (Operator Instructions) And our first question comes from the line of Matthew Paul of Sidoti & Company. Your line is open. Please go ahead.
Matthew Paul - Sidoti & Company: Hi, guys, thanks for taking my question. Jennifer, this question is for you I suppose. Can you shed a little bit more color on the gross margin difference between the fourth quarter and the first quarter or year-over-year?
Jennifer Crow: Sure, when we talked about the revenue is essentially $6 million in both quarters and we did have some increase costs coming in this quarter. We have deployed some new equipment to support all of the software and those chargers we lease that equipment and those chargers will begin coming through this quarter and will feed us going forward to support our new revenue growth for quarters to come.
Matthew Paul - Sidoti & Company: Okay, another question, Pat can you highlight any progress with the GeoPunch technology and cross technology and time and labor product?
Pat Goepel: Yeah, thank you. I think we are excited about GeoPunch and we are excited about in fact we sold even yesterday, I think we sold our fifth client. Our first client goes up at running towards the end of this month. And so, I think we are continually making progress, it’s being received very well in client presentations. I think the summer is when we will see more and more sales in our offering and start to get included in a lot of our cost offerings with GeoPunch. And in the mobile phone, I mean it’s exciting because it’s opening up the world to us. We had a prospect yesterday. We were on a go to meeting from Dubai and they were looking at our GeoPunch. So, we are really excited about the progress, we’ve had finished some of the integration work. Our new client – first client goes live at the end of the month and I think you see more results to follow here in the upcoming conference calls.
Matthew Paul - Sidoti & Company: Okay, thank you. Last question I wanted to ask about the learning curve so to speak and how long it’s safe to your incremental sales people to get up to the season?
Pat Goepel: Yeah, in base sales and where we have land and expand, we feel people can get up to quota within the first 60 to 90 days and we’ve had good examples of that. In the new sales area, it could take six months or so before they start getting on quota. And full productivity the second and third year there is still going to be increasing productivity. But we do get good productivity in the base sales reps, 60 to 90 days out and then the new sales usually about six months out.
Matthew Paul - Sidoti & Company: And how many more are we targeting to add through 2013?
Pat Goepel: 2013 we’re at plan or may be one short with turnover. So, we are going to add really this people that would not make it or would decide to leave. So, we’ll have a steady state now in plan for the rest of the year. And then I’m sure we’ll have discussions towards the end of the year and next budget cycle where we’ll look for growth opportunities and add as we move forward. But for the year, we are really at virtually a full staff.
Matthew Paul - Sidoti & Company: Okay, thank you.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Zack Buckley of Buckley Capital. Your line is open. Please go ahead.
Zack Buckley - Buckley Capital: Hey, Pat, congrats on the quarter.
Pat Goepel: Thank you, Zack.
Zack Buckley - Buckley Capital: Can you talk a little bit more about the gross margin decline and what drove that, sorry I jumped on a little bit late, so I might have missed it, but I just want to understand a little better?
Pat Goepel: No, I think there is two things, one on the gross margin decline we had some new equipment that we put in place that ultimately will support the growth of our business and the scalability of our business. So, some of that hit in the first quarter and then also we have traditionally sold hardware in the AsureForce. We have added now Asure panels in the area of AsureSpace. And so there is some costs that are in the numbers around that new product line. Gross margin over time will continue to improve and it’s allowed us from a scalability to have the right equipment in place to scale the business forward.
Zack Buckley - Buckley Capital: Okay. And when you say continued to improve are you talking about from sort of that 75% gross margin base line or from sort of this new lower base?
Pat Goepel: We’ll I think continuing to improve from this lower base where we are right now, but we will continue I think to go back to historical numbers or our goal is close to 80, I won’t promise that we will get to 80 very quickly, but will over time get close to those kind of numbers.
Zack Buckley - Buckley Capital: Got it. And can you talk about the year-over-year organic growth when the business normalized for the acquisitions?
Pat Goepel: I think that the third quarter is the perfect proof point of that because the acquisition will be digested the full year I think we acquired PeopleCube on July 3rd. So, the third quarter results will be very clear. But we are growing the revenue, our repetitive revenue, we started to grow our bookings year-over-year with 16% up. We are looking at with the new sales people I think the third quarter will be kind of coming on party. If you look at the historical documents I don’t – the third quarter I don’t have in front of me, but the revenue was roughly $5.7 million or so. Second quarter we are guiding at $6.2 million to $6.5 million. Third quarter will be better than that. And so you can see just in historical rough numbers we’re going to be growing approaching that 20% or so in the third quarter and that will be all organic.
Zack Buckley - Buckley Capital: Got it. And then I guess with that being said do you still feel that sort of 20% plus organic revenue growth is realistic over time?
Pat Goepel: I think improved points in the third quarter and we’re going to arrive really in the third and fourth quarter and I have no reason to doubt that we can hit that.
Zack Buckley - Buckley Capital: Okay, alright. Thanks a lot. I appreciate it.
Pat Goepel: Thank you.
Operator: Thank you. And I’m showing no further questions in the queue and I would like to return the conference back over to Pat Goepel for any closing remarks.
Pat Goepel - Chief Executive Officer: Great, and I really appreciate your interest in Asure and thank you for your time today. First quarter was very strong quarter for us. The plan that we put in place we feel is makeable plan and shows it tremendous results going forward. We appreciate folks that have been long time shareholders in Asure. If you have any questions Jennifer and I are available as always and we hope that you have a good day. Thanks for taking the time.
Jennifer Crow - Chief Financial Officer: Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the presentation. Thank you and have a great day.